Operator: Good afternoon, ladies and gentlemen. Welcome to the Power Integrations, Inc. Q2 Earnings Call. [Operator Instructions] I would now like to turn the conference over to Joe Shiffler, Director of Investor Relations. Please go ahead.
Joe Shiffler: Thanks, Aubrey. Good afternoon, everyone. Thanks for joining us. With me on the call today are Executive Chairman, Balu Balakrishnan; our CFO, Sandeep Nayyar; and for the first time, Jen Lloyd, who joined Power Integrations last month as President and CEO. After prepared remarks from Balu, Jen and Sandeep, we'll take your questions. But first, during this call, we will refer to financial measures not calculated according to GAAP. Non-GAAP measures exclude stock-based compensation expenses, amortization of acquisition-related intangible assets, other operating expenses stemming from an employment litigation matter and the tax effects of these items. A reconciliation of non-GAAP measures to our GAAP results is included in today's press release. Our discussion today, including the Q&A session, will include forward-looking statements denoted by words like will, would, could, should, expect, outlook, forecast, estimate, anticipate and similar expressions that look toward future events or performance. Such statements are subject to risks and uncertainties that may cause actual results to differ materially from those projected or implied. Such risks are discussed in today's press release and in our most recent Form 10-K filed with the SEC on February 7, 2025. This call is the property of Power Integrations, and any recording or rebroadcast is expressly prohibited without the written consent of Power Integrations. Now I'll turn it over to Balu.
Balu Balakrishnan: Thanks, Joe, and good afternoon. My role on today's call is simply to introduce Jen Lloyd, who took over as CEO just a couple of weeks ago. Jen came to us after a distinguished run of 28 years at Analog Devices, where she ran multiple businesses with $1 billion plus in revenues. Most recently, she ran Analog's multi-market power business, responsible for strategy, products, P&L and a large global team. She also previously served on our Board of Directors, stepping down in 2022 when she was assigned to run the power business at ADI. When the time came to search for a new CEO, Jen's name came to mind immediately. While we considered a number of excellent candidates, Jen was the clear choice, and I'm delighted that she has joined us. She has an outstanding track record of delivering innovative products to the market, attracting and motivating talented engineers and driving profitable growth. She obviously knows the power semi space. And from her time on our Board, she is already well acquainted with our business model and our culture. I have agreed to serve as Executive Chairman of the Board until February 2026, working alongside Jen to ensure a seamless transition. After this transition period, I will assume a nonexecutive Board seat and take on a consulting role assisting Jen and the Board in any way they ask me to. In particular, I expect to focus on innovation initiatives as well as IP matters, including any patent litigation that might arise, reflecting my history with the company and my patent holdings. But while I plan to remain involved with the company for as long as I'm needed, this will be my final earnings call. So before I turn the call over to Jen, I would like to thank all of you in the investment community who have followed and supported Power Integrations over the years. Thank you to our stockholders for putting your trust in us. As a fellow owner, it was of utmost importance to me to leave our company in good hands, and I'm confident we have achieved that. To the analysts who have covered our stock for so many years and some of you since our IPO all the way back in 1997, I have learned a great deal from you about our industry and your industry, too, and I will certainly miss working with all of you. With that, I'll turn it over to Jen.
Jennifer A. Lloyd: Good afternoon, everyone, and thank you, Balu. It's really an honor to take the reins from you as CEO of Power Integrations. Since my time on the Board, I've admired the franchise you've built in high voltage as well as the foundational technologies that will drive our future growth. I'll have more to say in the months ahead about my plans to deliver that growth and get us on a path toward $1 billion in revenue. In the brief time we have today, I'll share a few thoughts on the opportunities I see ahead of us and discuss a few key developments since the last earnings call. The core of our business, almost 90% of sales is power conversion ICs for appliances, consumer electronics and a wide array of industrial applications. We have a market-leading portfolio of products for these markets with more in the pipeline. For example, our flagship InnoSwitch platform represents the state-of-the-art in power supply architecture, building isolation into the package and eliminating optical feedback to simplify the system and enhance reliability. We are leveraging the technologies at the heart of InnoSwitch into our automotive efforts and into new disruptive products like our multi-output InnoMux ICs. We're also refreshing legacy product families to support their annuity-like revenue streams. Our new fifth generation TinySwitch extends the simplicity of that architecture to 175 watts of output, more than 6x the previous generation and provides a significant improvement in efficiency and standby consumption. In the coming months, we'll introduce a GaN version of our top switch products, giving long-time top switch customers a way to tap into the efficiency of GaN at extended power levels. Notwithstanding the near-term uncertainty, our core business is back on a growth trajectory after the long post-pandemic down cycle. And after our exit from China cell phones last year, the mix of our business is stickier with a higher margin profile. In India, we have a major role in the ongoing 5G fixed wireless rollout as well as the planned installation of 250 million smart meters. We're also growing our metering business in other geographies with three new design wins in Japan in Q2 and one in Europe using a GaN-based InnoSwitch. Overall, metering revenues are on track to grow 20%-plus this year, and our higher voltage GaN products offer a path to ASP expansion in that market as customers upgrade existing silicon designs. GaN is already driving growth in notebooks, TVs, gaming and many more applications. In fact, revenues from GaN products are up more than 50% for the first half of the year. While our core consumer appliance business faces short-term headwinds due to tariffs and stagnant housing markets, we remain bullish on the long-term opportunity. Rising wealth in emerging markets is making appliances affordable for more people every day and tighter efficiency standards are driving adoption of GaN and brushless DC motors, all of which should benefit us as short-term headwinds subside. While I'm pleased that our core business is growing again, what's really exciting about the Power Integrations story is the opportunity to level up our business into higher power, higher-value systems. Advanced high-voltage semiconductors are essential in EVs, AI data centers, electric rail and in modern power grids centered on renewable energy, battery storage and long-distance DC transmission. It's early days for me here, but it's already clear to me that we have the technology and the system-level know-how to win in these markets. On the high end of the power scale, we have the world's premier gate driver technology for IGBT and silicon carbide modules. Since entering the gate driver business more than a decade ago, we have invested in products and design support capabilities to prepare for the expanding opportunity in clean energy, electrification and modern power infrastructure. These investments are paying off with customers, driving more than 40% growth in high-power revenues in the first half of 2025. High-power design wins in Q2 included a traction inverter for a major U.S. heavy equipment manufacturer, solar and battery storage inverters for a Spanish OEM and silicon carbide drivers for an electric bus at a European EV OEM. The other critical asset enabling the pivot to higher power is our proprietary GaN technology. Power Integrations was first to market with high-voltage GaN in 2019 and has executed an aggressive road map on multiple dimensions, cost, voltage and power. While GaN is already driving growth in our core power supply business, it is also the key to our SAM expansion plans and ultimately, our path to $1 billion in revenue. Two important developments have occurred in the GaN space since the Q1 earnings call. First is the decision by TSMC to exit the GaN foundry business in 2027. While this creates challenges for competitors relying on TSMC, the real significance from our perspective is that it validates a core tenet of our strategy, that for power transistors, process technology and device design are interdependent and controlling both to optimize system performance is the best path to success, whether in silicon, silicon carbide or GaN. So it's no surprise that IDMs are moving into the GaN space, and we are well positioned to compete with our fabless IDM model and well over a decade of GaN development experience and know-how. Owning the process and the device technologies used in our products allows us to differentiate at the transistor level on factors such as cost and voltage rating. Control over manufacturing parameters, yields, performance and quality gives us maximum flexibility to develop system-level products for the markets and applications we target. Our system-level expertise allows us to extract the maximum performance from our proprietary GaN technology and provide system-level reliability and ruggedness. This relates to the other recent development in GaN, which is NVIDIA's announcement that it will support an 800-volt DC architecture in the next-generation AI data centers. The new architecture will save space and improve efficiency by reducing the need for rack-level AC to DC converters and drastically reduce copper usage by enabling lower current. Power density is the name of the game here, and the 800 to 54-volt conversion at the server board will likely require GaN to achieve the kind of densities needed in next-generation data centers. Our 1250-volt GaN can support an 800-volt rail in a conventional architecture, whereas lower voltage technologies like 650-volt GaN will require stacking of multiple devices, compromising power density and adding complexity. And while silicon carbide is capable of handling 800 volts, GaN's higher switching speed enables a smaller transformer and higher efficiency, again, resulting in higher power density. We are the only company shipping 1250-volt GaN today, and we designed our technology with the higher voltage applications in mind. Data center architectures will continue to evolve beyond the 800 volts, and we're ahead of the curve with 1700-volt technology already in the market and higher voltages still to come. We've taken the right technology steps to be well positioned to offer system-level solutions, and my focus will be to make sure that our product development efforts are aligned with the markets we're going after. At ADI, I oversaw the introduction of many, many products, including system-level ICs and modules. So I know what it takes to define and develop complex products that anticipate and meet customers' needs and are delivered on time. Markets like data center and automotive have different requirements than the broad-based low-power markets that comprise our core business, and I will be adapting our teams and our processes to those needs. Before I turn it over to Sandeep, I'll comment on the near-term outlook. Orders have slowed in recent weeks, likely reflecting customer caution around constantly changing tariff headlines. Our third quarter revenue outlook of $118 million, plus or minus $5 million reflects continued strength in the industrial category and in GaN products, tempered by softness in appliances, which make up most of our consumer category. Steel tariffs and tariffs on finished goods tend to be meaningful in this market given the high dollar value and steel content of most appliances. A large U.S. appliance customer reported recently that Asian OEMs have continued to load inventory into the U.S. to take advantage of delays in tariff implementation, which is likely to affect demand from our Asian customers in the second half. However, channel inventory of our products remains healthy, which should enable our business to reaccelerate as excess finished goods inventory clears. Meanwhile, we continue to see growth in our industrial business led by high power and metering as well as new designs ramping in automotive as that business builds towards a material revenue contribution in 2026. Next, Sandeep will cover the details of the second quarter results. Sandeep?
Sandeep Nayyar: Thanks, Jen, and good afternoon. On second quarter -- our second quarter results were on target with revenues up 9% year-over- year to $116 million and non-GAAP EPS of $0.35. We generated $29 million in cash from operations and repurchased more than 1% of our outstanding shares during the quarter at an average price of about $46. Looking at the revenue details. Sales were up 10% sequentially. As expected, industrial was the primary driver of the increase, rising nearly 30% from the prior quarter on strength in metering, home and building automation, broad-based industrial and high power, where we saw growth in solar energy and high- voltage DC transmission. Communication revenues increased more than 20% sequentially, driven mainly by seasonal trends in cell phone. Similarly, seasonal trends in tablets drove a high single-digit increase in the computer category. As we previewed on last quarter's call, consumer revenues were sequentially lower, down mid-single digits after an unusually strong first quarter that benefited from front-running of tariffs. Revenue mix for the quarter was 40% industrial, 37% consumer, 12% computer and 11% communications. Non-GAAP gross margin for the second quarter was 55.8%, down 10 basis points from the prior quarter as a slightly more favorable mix was offset by higher input costs flowing through our inventory. Non-GAAP operating expenses were $46.7 million, up sequentially due mainly to annual salary increases, which took effect early in the quarter and also driven by executive transition costs and litigation expenses. The non-GAAP effective tax rate was 4%, resulting in non-GAAP earnings of $19.9 million or $0.35 per diluted share. Diluted share count was 56.4 million, down about 700,000 from the prior quarter, driven by repurchases. Our GAAP results included one unusual item in the second quarter. That was a charge of $9 million related to an employment litigation case in California. We are contesting the outcome in post-trial motion seeking reversal of the damages award and potentially a new trial and plan to appeal if necessary. The cash impact, if any, would occur only at the completion of that process. Inventories on the balance sheet fell by 30 days to 296 days. Channel inventory fell by 0.3 a week to 7.6 weeks, well within what we consider to be a normal range. Cash flow from operations was $29 million for the quarter, while CapEx was $6 million. We returned $44 million to stockholders during the quarter, including $32.6 million in the form of buybacks and $11.8 million in dividends. We repurchased just over 700,000 shares during the quarter with an average price of about $46, as noted earlier. At quarter end, we had $42 million remaining on our repurchase authorization. Turning to the Q3 outlook. As Jen noted, our revenue expectations reflect limited near-term visibility with customer caution around tariffs offsetting company-specific growth drivers. We expect revenues to be in the range of $118 million, plus or minus $5 million. I expect non-GAAP gross margin to be between 55% and 55.5%, down slightly from the prior quarter on higher input costs flowing through our inventory as well as a slightly smaller benefit from the dollar-yen exchange rate. Non-GAAP operating expenses for Q3 should be around $47.5 million, up modestly from Q2, driven mainly by legal costs and R&D activity. I expect the non-GAAP tax rate to be around 5%, while other income should be similar to the second quarter levels. And now operator, let's begin the Q&A session.
Operator: [Operator Instructions] Our first question comes from David Williams of The Benchmark Company.
David Neil Williams: First off, Jennifer, congratulations on the CEO appointment there. We're certainly looking forward to working with you, although it is unfortunate that Balu will be -- we will certainly miss him.
Balu Balakrishnan: Thanks, David.
David Neil Williams: So I guess with that, it sounds like there's a lot of different dynamics going on in the market in terms of the tariffs and maybe some of the cautious pull-through and what we've seen through the first half of the year. I guess, how do you think about the guidance in terms of being derisked based on kind of all of these different undercurrents? And can you maybe talk a little bit about where your bookings are kind of exiting the quarter?
Sandeep Nayyar: Yes, David, thanks. So our bookings at the beginning of the quarter actually were healthy, and we thought using the normal turn, business that we get between 20% and 30%, and in fact, last quarter, we had like 27% turns that we would have a reasonably higher quarter than we have guided. But the month of July saw a real slowdown in bookings where our bookings in July were nearly 20% below the normal run rate of the prior months. And seeing that and basically hearing what the others have talked about the Q4 quarter in their calls, it clearly -- as you know, we see things much earlier than them at least by a quarter. That's why you're seeing us guide the way we are based on the bookings and based on what we are hearing. And as you -- because of the tariffs, clearly, we are seeing the impact in our appliance business, especially if you look at our major appliances, they grew nearly 15% in the first half. And that clearly shows -- which is well above our normal growth rate in that business as well as design wins, which led to -- us to believe there was clearly some front-running that happened there. And when you hear people like the big U.S. company talking about how the Chinese OEMs have been putting in a lot of finished goods in the U.S. prior to the tariffs, it leads us to believe that will have an impact in the second half. Putting all that together, that's why we have guided -- to the level we have guided.
David Neil Williams: Great color there. And then maybe just kind of thinking about the strategy going forward, there were a couple of things that you had mentioned in terms of your prior experience and how you feel like your strategy will be deployed here at Power Integrations. But just wondering, can you kind of talk through some of the higher-level things that you're thinking about? Obviously, we've always thought Power Integrations ran very efficiently and very well. But coming in, I think you might have a different view. So could you kind of give us maybe a level set of where you're headed in terms of thinking of the strategy?
Jennifer A. Lloyd: Sure. Absolutely. I mean, again, I'll just repeat, Power Integrations has a great foundation, great technology here. High-voltage expertise, system expertise and so on. I think what I see as a gap or where we can improve is on the R&D efficiency and driving improvements there. And I think the end goal is really to invigorate the growth to achieve the model that we set out, the double-digit growth model. And so I think the applications that we're looking at, those are great applications that fit very well with the technology that we have, but we have to have the products out there to meet the needs of the customers in those application areas. So areas like data center, automotive and leveraging the capabilities in high voltage and -- is what we want to do, but we got to make the engine efficient.
Operator: Our next question comes from Tore Svanberg of Stifel. Our next question comes from Ross Seymore of Deutsche Bank.
Ross Clark Seymore: So first, Balu, congrats and sad to see you go as well, [indiscernible] around for a little bit longer. And Jen, congrats on the new leadership role. So I guess my question, for the third quarter guide, you talked in the prior question a little bit about some of the dynamics you're seeing in aggregate. Could you talk a little bit about how you're seeing them by segment? I know you said industrial is still strong. Consumer has the appliance issues. But when you think about the puts and takes versus the flat to slightly up guidance, how do the segments work out?
Sandeep Nayyar: Yes. I think you're not going to see much mix. So I think growing from $116 million to $118 million, pretty much what you're seeing is you're going to see industrial and consumer to be kind of flattish and the growth -- little growth coming from the other two segments. And actually, in consumer, even though it looks flattish, the appliances are really down because we have won the design win in video games that is kind of offsetting that. So really, the bread and butter, major appliances and the comfort appliances are actually down. And I think the reasons that I attributed to about how strong the first half was plus the tariffs -- is really -- but I think what really changed for us is the real slowdown on bookings that happened in July for us to give caution a little bit here.
Ross Clark Seymore: Got it. And I guess for any of you, but maybe, Jen, the longer-term items that you talked about, the material revenue in automotive for next year, et cetera, I guess a 2-part question. One, are you seeing any changes in the road maps for those or the desire and uptake of those products given the uncertainty that you have in the near term? And two, what does material mean in automotive?
Jennifer A. Lloyd: Yes. Okay. So I'll just take the first question on the automotive road map and maybe the progress that we're making. I mean we're continuing to make really good progress with automotive with the road map that we have that we set out. We've got products in, I think, about 30 cars on the road now, mainly in China, but we also now have some models hitting the road soon in Europe, Japan and the U.S. We're continuing to win designs. I think last quarter, you heard about our first GaN design win for automotive. And we had wins this quarter across a number of regions. We had a couple in China, but also one in India and a couple in the U.S. So in terms of the uptake, we're still on track for high single digits in millions this year, and we're expecting that to continue ramping next year and beyond.
Sandeep Nayyar: Yes. And basically, Ross, we had talked about 2026 where the meaningful revenue where we get into the low tens of millions, we are actually tracking to that. And I think we talked about towards the end of the decade, 2029, the $100 million goal. We started with the emergency power supply as what I call the base. And now we are proliferating into different with micro DC-DC with the potential to eliminate 12-volt battery. And as a result, we've got a real pull. I think you heard that the emergency power supply pulled us even a place like Japan, where we were not initially going. The beauty is we are getting really good traction. And that's why we really feel good about the low double-digit tens of millions in 2026 with all the design wins and the run rate that we are starting to see starting in the fourth quarter.
Operator: May we go back to Tore Svanberg for his question.
Tore Egil Svanberg: Balu, congratulations again on your retirement. I really appreciate working with you over the years. Thanks for your wisdom and Jen, welcome on board. I guess my first question on this sort of pull-in/inventory adjustment. First of all, is it mainly in consumer? Or are you seeing it perhaps in a few other parts of your business? And since channel inventory is still quite lean, should we think of this as being sort of like a fairly short-lived correction compared to what we've seen before?
Sandeep Nayyar: It's a really good question. So the way I look -- I'm looking at it, and I'm just trying to read the tea leaves here, I have never seen this adjustment to be less than 2 quarters, sometimes lingers a little more. And the reason I'm trying to do this is because all the other companies were talking about Q4, and we see it a quarter earlier. For us, mainly it was in appliances. But our visibility, as you know, is low. And basically, I think the real drop in orders, 20% decline from a nominal average over the last 6 months was meaningful. And so that at least gave us some caution. And appliances, clearly, if you really look at the major appliances, which you know is about 50% of the total consumer, grew 15% year-over-year there in the first half, which is above the normal growth rate along with the normal design wins or the extra market share we get. So clearly, there was some front-running that we can see could have been a little in other areas, but the only place where it's visible to us is in appliances. So taking what happened in July, the front-running, visibility low and then hearing what all the others in the industry are talking about Q4 and that we normally see these things a quarter earlier led us to do this adjustment that we have talked about in our guidance.
Joe Shiffler: The commentary from Whirlpool on this was very clear, and that's why we're very confident in what's happening in the appliance space. They cited 20% increase first half over first half in Asian imports of appliances into the U.S. Our major appliance business was up mid-teens year-over-year in the first half, which, as Sandeep said earlier, is pretty far above what you would normally expect. So we can clearly see it in the appliance space. And again, as Sandeep said, there may be some of that activity happening in other markets, just not as visible to us.
Tore Egil Svanberg: No, that's great color. And as my follow-up, I don't know if this is a question for Balu or you, Jen, but you mentioned that the TSMC exit from GaN. That's obviously a really big industry data point. I'm just curious, have you sort of seen any changes in the competitive landscape since then? There's obviously a few players that have sort of tried to qualify other foundries. But whether it's your sort of fab competitors or fabless competitors, have you seen any changes?
Sandeep Nayyar: Well, you're hearing other people talk about moving away from TSMC and going to other alternatives. But the other alternatives are not as robust than them and try to move from one foundry to the other is not something that happens as quickly. The big distinction is for us, yes, you had all these competitors at 650. Nobody has what we have at 1250 and 1700. And the advantage we have, and especially people are talking about the 800 volt and all, we have products that will supply into the auxiliary that supports the 800. We've been thinking about this way ahead. So I think what we talked about in our Analyst Day that having the whole control on the process, the device and the model and just that we have a very proprietary technology is really differentiating us and putting us ahead of the pack.
Operator: Our next question comes from Christopher Adam Rolland.
Christopher Adam Jackson Rolland: I want to also echo my congrats to Balu on your what sounds like a semi retirement and welcome, Jen. I look forward to working with you. So my question -- my first questions are really around Jen. It was nice to hear a chunk of your prepared remarks talk about GaN in AI data center in particular. If I read that correctly, it sounds like you're signaling a commitment and a focus there. And so that's of interest to me. That said, you guys are not, as of today, at least on the list of approved vendors at NVIDIA. It does seem like a dynamic list, and I think people are being added to that all the time. But I guess my question is, when do you think you might get on that list? And additionally, what are the GaN products you would be providing there? Would they be at the rack level or the power supply or even the first or second stage? And then opportunities beyond that -- for ASIC guys beyond NVIDIA as well would be great.
Jennifer A. Lloyd: Okay. Thanks, Chris, for the question. That was a long question. Let me try to unpack that. So I think just -- maybe I'll take a step back and just say we're playing in the data center ecosystem. So we're already shipping into auxiliary power supplies, and that's an area where we're gaining share with the GaN versions of the InnoSwitch platform, thanks to the rising power requirements there. Next year, we're going to be sampling GaN products for the main converters under the current architecture where you have AC to DC converters at the rack level. And that architecture is going to be around for a while. High voltages -- higher voltage DC, like I talked about earlier in the prepared comments, that approach isn't going to replace that overnight. But we're also expanding our product offerings for the 800-volt level. So we actually designed our 1700-volt GaN InnoMux4 800 volts. And that product is a perfect fit for the aux power supplies for 800-volt architectures. It requires both 54 and 12-volt outputs at high power and the 1700 volt is a voltage level that you need for the flyback architecture for that 800-volt data center architecture. So GaN is clearly a great and maybe the best choice for the 800 to 54 volts in light of the space constraints. And for that, with 800 volts of input, our 1250-volt is a really important technology. So both our 1250 and 1700-volt GaN capabilities are going to serve 800 volts in both data center and automotive. And maybe, Sandeep, you can jump in on the products -- the time line of some of the products.
Sandeep Nayyar: So we've already got the InnoMux, which is already there. And we talked about next year sampling the product which Jen talked about. And that will be followed up with -- subsequently with the 800-volt in the main when it goes to the new architecture in '27, '28. So we are engaged with everybody. As you know, we don't do discretes. We do system-level products. So we are working with everyone. And when our system-level product comes out, you'll hear a lot more announcement. But it doesn't mean because if you're not there, we are talking to everyone. Part of the reason why GaN has not been that adopted because discretes are not as reliable. But when we provide our product with -- at a system level, the adoption is at a different level. So it's a matter of time, but we are very engaged with all the different people who are playing in this ecosystem.
Christopher Adam Jackson Rolland: Great. Maybe just a follow-up to that and then a quick other one. Just maybe if you could give us a metric, either dollars per accelerator or rack or something like that and tell us who your main competitors are in AI? And secondly, for Sandeep, am I understanding this correct? Like will industrial continue to grow and outgrow the other segments because they don't have some of these other pull-ahead dynamics? And do you still think you can hit the double-digit long-term CAGR next year? Or do you think you play -- this plays into next year as well?
Sandeep Nayyar: We absolutely get back. I think this is an adjustment that is happening. It's more macro and tariff related. And I told you this -- if you really look at it, industrial will be -- continue to be a very strong growth driver next year. We're going to grow in automotive. We're going to grow very strongly in metering, in high power and homebuilding. But in fact, I think all four segments will grow next year with communication having good strength. We talked about the big GaN win that we had. We also are working -- winning in networking there. So I really think post -- how long this adjustment lasts? Is it 2 quarters or 3 that I don't know, not smart enough, but it's at least 2 because you're hearing other people talk about the fourth quarter. So I think we'll be back to a double-digit growth starting next year. So to the extent that you talked about the content, I think we have talked about that in the existing structure, we could get content worth about $1,000 a rack at best. And as Jen talked about, we've got a lot of opportunities because of our 1250 and 1700.
Jennifer A. Lloyd: Yes, I can just follow on. I mean, I think in terms of competitors, I think what we compete with mostly is discrete designs using MOSFETs or silicon carbide. And really, like Sandeep said and I said earlier, nobody else has the kind of -- the 1250-volt GaN. This is going to replace silicon carbide and silicon MOSFETs for performance reasons going forward. So we're excited about that.
Sandeep Nayyar: And the most unique is our proprietary GaN is extremely reliable. And obviously, it's very much more cost effective than silicon carbide. So I think we've been talking about the play of our differentiation, and you're seeing our model related to GaN really play out with the exit that Jen talked about of TSMC.
Operator: Our next question comes from Ross Seymore of Deutsche Bank.
Ross Clark Seymore: I just want to sneak in one quick follow-up. Sandeep, what's the expectation for channel inventory? You guys are doing a good job of keeping it pretty tight. I know it's in your target range. But within your guidance and maybe in the second half as a whole, since you're talking a little bit more about the fourth quarter, how are you expecting the channel to act?
Sandeep Nayyar: I think this quarter, I'm expecting the sell-in and sell-through to be kind of flattish. And because we are running -- if you really look at it, we're running at 7.7. But if you look at within that, consumer is running at 6. And I think part of the reason we are back to that, Ross, is we have a lot of inventory and we have short lead times, so people really don't want to load up. And I think there's caution because of tariff. And quite honestly, appliances get impacted because the steel tariffs actually do affect the end product quite a bit. And that is another reason that is impacted. But as I said earlier, we had a pretty strong year-over-year in major appliances in the first half.
Ross Clark Seymore: Got you. I guess speaking a little bit on the fourth quarter comment that you talked about this potentially being a 2-quarter adjustment, et cetera. Is seasonality even a framework that matters? And if so, how would you think seasonality occurs versus the cyclicality/tariff issue as we get into the fourth quarter?
Sandeep Nayyar: Yes, that's an interesting hard. For us, seasonality in our business really is in high-power business. Typically in the first quarter, it's down. And of course, a little bit in the communication where you have cell phone that is, as you know, certain quarters that are stronger. But I think -- and the other thing is for us, in the third quarter, typically, comfort appliances tend to come down because of the cycle of the build. But I think with this whole front-running, things have gotten backed out a little in the appliance area. Now whether this will be 2 quarters or 3 quarters, I'm not smart enough. But the reason I'm putting 2 quarters is because we see this slightly earlier. We saw it in July. People are still seeing fourth quarter. So I think it's at least that. Now I have to see what happens in Q1, a little too early. And I want to see if there's more clarity that comes on this tariff that changes the whole equation. Every day, you turn and there is a different rate at a different place. So we don't know how that will play out. And interest rates is the other thing. If the interest rates do tend to come down, that helps the housing market. So that's another thing we have to wait and see what happens there.
Joe Shiffler: All right. Aubrey, do we have any further questions?
Operator: [Operator Instructions] There are no further questions at this time. I would now like to turn the call back over to Joe for his closing remarks. Please go ahead.
Joe Shiffler: Okay. Thanks, everyone, for listening. There will be a replay of this call available on our website, the Investors section of our website, investors.power.com. So thanks again, and good afternoon.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.